Operator: Good morning, and thank you for waiting. Welcome to Rumo's Third Quarter 2025 Earnings Presentation. [Operator Instructions] This presentation is being recorded and simultaneous translation is available by clicking on the interpretation button. [Operator Instructions] Before proceeding, we would like to reiterate that forward-looking statements are based on Rumo's Executive Board's beliefs and assumptions and information currently available to the company. These statements involve risks and uncertainties as they relate to future events and depend on circumstances that may or may not materialize. We recommend that you refer to the disclaimer on the second page of the presentation. Now I will turn the conference over to Mr. Felipe Saraiva, Rumo's Head of Investor Relations, to begin the presentation. Please go ahead, Mr. Saraiva.
Felipe Saraiva: Good morning, everyone, and thank you for joining Rumo's Third Quarter 2025 Earnings Conference Call. Let's begin with the highlights on Page 3 of the presentation. We reached a new quarterly record for transported volume, 23.4 billion RTK, up 8% year-over-year. This performance was driven mainly by the Northern operation with the higher volumes in general cargo, especially hardwood pulp, bauxite and fuel. Our cash cost was another positive highlight this quarter. We continue to capture energy efficiency gains, reducing fuel consumption, the main component of our variable cost. In fixed costs and expenses, we recorded a nominal reduction of BRL 36 million, which combined with the volume growth translated into a 12% efficiency gain in our cost per unit. The combination of higher volumes and disciplined cost management allowed us to maintain a stable margin in a more competitive environment. Adjusted EBITDA reached BRL 2.3 billion, an increase of 5% year-over-year. We closed the quarter with BRL 1.5 billion in investments and net leverage of 1.9x. Moving to Page 4. Let's look at market share. Our market share this quarter reflects a more competitive grain logistics environment. We maintained a stable market share in Goiás and in the southern ports, while performance in Mato Grosso and the Port of Santos was lower than last year. On Page 5, I will share more details on the market dynamics in the Santos corridor, which is our core business. As a reminder, rail capacity is shared between Mato Grosso and Goiás working as communicating vessels. Grain exports from those markets increased compared to 2024, a year that was impacted by a crop shortfall in the Midwest of Brazil, but still remained slightly below 2023 levels. We transported 8.5 million tons with alternative corridors absorbing part of the difference versus the year of 2023. In the soybean complex, which includes soybean and meal, the market was stronger than usual this quarter, driven by the carryover volumes not exported in the first half of the year, and we captured that demand efficiently. For corn, despite a record crop in 2025, export volumes from Mato Grosso and Goiás were lower. Our performance reflected this more competitive landscape with some flow distribution across all of the logistic corridors, partially offset by growth in soybean complex, as I have mentioned. As you may see in the lower chart, our railway system remains the main logistics solution serving the Port of Santos. Moving to Page 6, we will review the operational indicators. Both the transit time and dwell time in Santos slightly increased during the quarter because of greater complexity of managing higher volumes in the system. In energy efficiency, we reduced unit fuel consumption by 2% with a solid performance across both the Northern and Southern operations. On Page 7, we will show operational results and volumes. We transported 23.4 billion RTK in the quarter, up 8% year-over-year. The Northern operation accounted for about 3/4 of this growth, mainly supported by higher general cargo volumes, particularly hardwood pulp, bauxite and fuel. In the agriculture portfolio, we transported more volumes of sugar and fertilizers. In the Southern operation, the main highlight was higher corn volumes, which had been impacted last year by crop shortfalls in the South. In general cargo, we continue to pursue new opportunities and optimize asset utilization of that system. Now on Page 8, we present revenues and tariff highlights. Net revenue amounted by BRL 3.8 billion, a 2% increase year-over-year. As we always say, the focus of our pricing strategy is on finding the right balance between volumes and tariffs to maximize the system profitability. This year export dynamics led to a stronger competition among logistic alternatives serving our key markets. In this context, we adjusted our commercial positioning in both operations to ensure competitiveness and attractiveness for the rail transportation. Moving to Page 9, we present the EBITDA. EBITDA grew 4%, reaching BRL 2.3 billion. Our efficiency in managing costs and expenses helped us maintain stable margins despite a more competitive environment. Additionally, we recorded a BRL 55 million in insurance recoveries related to the loss of profits in the Southern operation due to extreme weather events on May last year. On Page 10, we move to financial results and net income. The net financial result was a net expense of BRL 837 million, mainly reflecting higher net debt and interest rates. Despite the higher rates, we delivered adjusted net income of BRL 733 million, broadly in line with the last year figure. On Page 11, let's look at our net debt position. Net debt at the end of the quarter was BRL 14.9 billion, reflecting the quarter's cash generation. We closed the period with a healthy leverage of 1.9x. Our liquidity position remains very solid with BRL 7.2 billion in cash and a well-distributed debt maturity schedule with no major concentrations in the fiscal years of 2026 and 2027. On Page 12, we will present the investments in the quarter. We invested BRL 1.5 billion in the quarter, in line with our plan. Recurring CapEx was BRL 503 million, focused on asset maintenance and operational safety. In the Mato Grosso railway project, we invested BRL 575 million with the cash disbursements following the construction progress. Other expansion projects amounted by BRL 396 million with the focus of increasing capacity and modernizing the existing infrastructure. Now turning to the soybean market on Page 13. The next Brazilian soybean crop is expected to reach the all-time high level of 175 million tons in production. The state of Mato Grosso should account for roughly 51 million tons in production. And as we speak, the seeding is almost completed. Exports from the region are estimated at 32 million tons, pointing to a healthy logistics demand for the next season. On Page 14, I will present the corn market. The Brazilian corn crop is also expected to reach a record high level with an estimated production of 145 million tons in the next season. In Mato Grosso, production is forecasted at 59 million tons, driven by an expansion of roughly 400,000 hectares in planted area. Exports should remain stable around 25 million tons in the state of Mato Grosso. This concludes my presentation. Thank you, and we are glad to start the Q&A session.
Operator: Joining us today are Mr. Pedro Palma; Mr. Guilherme Machado; and Mr. Felipe Saraiva. Before we begin the Q&A session, Mr. Pedro Palma would like to say a few words. Please go ahead, Mr. Palma.
Pedro Palma: Good morning, everyone. This is Pedro Palma. Thank you for joining us in the earnings release for the third quarter. It's a pleasure to be here with you. Before we start the Q&A session, let me just summarize the quarter and how the company has been doing. Looking at how volumes have progressed, we're very happy to have gone over the 8 billion RTK volume at the company with major stake in the South and North operations making contributions to that increase. In the last few months, the South operation has been over 1.2 billion RTK, going back to very healthy and robust volume levels. And the North operation has been close to 7 billion RTK. That's a testament to our resilience, our ability to overcome challenges in the rail environment, which is becoming much more favorable, much more solid. And we have reached those volumes in the last quarter and the last few months despite a fiercer competition in the market, considering grains volumes, both in the North and South operations. As we said since the beginning of the year because of the carryover inventory of corn from '24 to '25, we also mentioned the delayed in volumes coming in, in terms of soybeans. And over the year, there's been a smoother, more linear export level. At the beginning of the year, we were still testing the market's pricing level to understand how we should position our own pricing levels. As of the second quarter, when it was clear to us what that new price level was going to be, we made the required adjustments to our pricing policy to make sure that we would have the required and suitable volumes to execute on our rail activities. And let me remind you, at very healthy margin levels. Our pricing journey has never been linear. Over the years, it's been through ups and downs. Let me remind you that in '22, '23 and '24, our prices went up by 60% in the grains market. And '25 has been a year of adjustments to pricing levels so that we can find the right level that will give us the right market share, the fair market share to ensure that we're growing and positioning ourselves competitively. So we've been doing that, and our rail operation has been responding accordingly with increasing volumes. Now let's take a look at the other portfolios, fertilizers, pulp, sugar, bauxite, they've all been growing at very consistent volumes, also increasing our system across volumes and margins and ensuring that our revenue is resilient and good diversification across all kinds of cargoes. Obviously, our main market is and will continue to be the grain market. Right now, as you can see in our market share charts shared by Saraiva, the corn market and corn exports from the Port of Santos has been less than historically, what has been putting additional pressure on our commercial structure. But these are circumstantial situations. We've dealt with them in the past, and we'll continue to deal with it by adjusting prices so as to ensure the best margin possible for our system. Obviously, price is a variable that is not under our control, but there are variables that are under control. One, capacity, and we have been proving that we have the capacity to operate as well as cost and fixed expenses discipline. As you can see, in an environment where volumes have been increasing, new operations have been coming and going up and running, we are healthy volume levels and increasing efficiency within the system. That's what a company such as ours has to do. Our improvements in -- our investments in improving assets and improving management has to, in the long run, be translated into structural -- lower structural unit costs so we can have healthy margins even in more volatile pricing situations. In the rail execution line, let me highlight our enhancement in safety, both rail safety and personal safety. In 2025, there's been a reduction in incident frequency, which is very closely related to the quality of management and discipline in execution. This is an ongoing journey. We will consistently continue to decrease frequency both in rail incidents and personal incidents. This is one of our values, and it's something we will continue to focus on increasingly more, but I am absolutely convinced that with our teams, both in the North and South operation, our organizational structure will make it even more robust and bring in even more quality in execution and a working environment that will continue to help us progress in reducing costs, increasing competitiveness and bringing in increasing more volumes to a safe system. And before we move on to the Q&A session, one last comment about our investments. As you've seen in Saraiva's presentation, our CapEx is in line with what we did last year. But more important than absolute figures, I just want to reassure you that we are keeping with our recurring CapEx, and we're doing the absolute necessary to have a robust and efficient operation. And our expansion CapEx is within the plan with the Mato Grosso rail works and requalifying also the Paulista Network and all the works at the Port of Santos to make sure that we are building the foundation for future growth and making sure that we are showing today the results that we will reach in the future. So in addition to CapEx, it all makes me confident that we are in line with our schedule and the figures that we had planned. Specifically for Mato Grosso rail next year, the BR-070 terminal will be going into operation. So this year, we have the first stage of this transformational and relevant project for the company and all the companies that we work with. So those are my opening remarks. And now we'll begin the Q&A session. Myself, Machado and Saraiva are here to take your questions. Thank you.
Operator: [Operator Instructions] The first question is from Mr. Alberto Valerio from UBS.
Alberto Valerio: The first question is what every investor wants to know. What is the company's pricing level? What can we expect for the next quarter, for next year? What is the competitive environment like? Do you think it's reached a sustainable level or not yet? Will there be further adjustments? And are you maintaining the guidance based on third quarter yields? If we see the same yields in the fourth quarter, things might be a bit challenging in terms of keeping the guidance. That's it for me.
Pedro Palma: Thanks for the question. This is Pedro. Looking at the competitive scenario and based on my opening remarks, I think it's fair to say that the pricing scenario, especially considering the corn market will continue to be a bit more acid than we had planned. So looking at the current scenario in the fourth quarter to be objective, it is a bit more acid than it was in the third quarter. That said, I don't think that is material. Looking forward -- and let me touch on 2026. As Saraiva showed, the crop dynamics looks positive, different to 2025, where we went in without carryover inventory. And what we're seeing for 2026 will be a beginning of the year with higher volumes in the system, which should make the logistic pressure easier for next year. So I think the dynamics will be marginally better than we saw in 2025, thinking about the transition into 2026. Having said that, to be very transparent and objective, prices are not directly under our control. But what I do see is for 2026, we are beginning our commercial efforts for that journey at similar levels to what we have seen in the second quarter of 2025. And over time, as the market progresses, we will rebuild our pricing basis with more confidence in future prices and volumes. As for the guidance, obviously, we already have the numbers for the third quarter. There are challenges to execute on the fourth quarter volumes. The name of the game for us to conclude the year within the figures that we announced for the guidance will be totally related to executing on volumes, especially now in December and continuing to control costs and expenses. The challenge I see is that, honestly, there's still some uncertainty with regards to the volumes for exports, given that export volumes in December, sometimes clients prefer to execute them in January only based on international demand. So those volumes will have an impact on our numbers. But that said, we are confident that we will meet the guidance. We'll continue to work tirelessly to do so. I don't know if Gui would like to say anything, please feel free to jump in.
Guilherme Lelis Machado: Yes. In terms of what we have been seeing in the fourth quarter, last Monday, we announced that October was an exceptional month for us. After May and August, it was our new record, and we'd have to repeat the same thing because our investments have been translated into absorbing capacity fluctuations in the market. November looks like will be a strong month in terms of volumes. As Pedro said, the uncertainty will be mainly concentrated in December. We imagine there will still be major volumes. If we have a healthy demand environment, especially considering the high product availability we have in land, rail will be ready to capture that demand, especially considering our performance in the third quarter and beginning of the fourth quarter. So our focus will be to continue executing sharply in terms of our operations, which is what has been happening and managing costs and expenses as we have been doing. So having said that, obviously, we should be delivering close to the midpoint of the guidance in terms of volumes. Our CapEx is solid and under control. And in terms of EBITDA, if we have a good risk balance in the fourth quarter, we should be able to meet the guidance close to the mid-low point and our efforts will all be towards executing on that at the end of the year.
Operator: The next question is from Mr. [ Matteos Santana ] from Bradesco BBI.
Unknown Analyst: Could you talk a bit more about corn? Looking at the figures, especially year-on-year in terms of exports, we see that volumes have been very low so far. So there wasn't a lot of corn transported in October. What do you expect for the fourth quarter? Do you think there will be more volumes? Or should we wait for the beginning of the year, January and February, where you'll be focusing more on corn exports?
Pedro Palma: Matteos, this is Pedro. As I said in my previous answer, we do see a corn carryover -- a high carryover inventory for corn. Historically, the corn carryover inventory from 1 year to the next, let's just take a look at an example in Mato Grosso. It's about 5 million tonnes. If we look at a snapshot of today, in fact, if we look at October to November, there was a possibility of a 15 million tonne carryover inventory instead of 5 million. So there's an increase in the carryover inventory this crop year was 10 million tonnes. Now what will be exported additionally in December or what will only be exported at the beginning of next year. That's the question mark in the system. And it depends on international demand, and it also depends on the negotiations between producers and traders. So that's the uncertainty I mentioned and Gui mentioned with regards to December figures. How much of that corn will be available for export. What I can say is that we are fully able to transport whatever volume is available. As we have shown in previous months, we do have the capacity, and we are ready for higher volumes than we have transported in the last few months. So -- we're just waiting to see what those volumes will be. So even if we have higher volumes in December, the beginning of next year, in my opinion, we'll be seeing more corn to be transported than we saw in 2025 because the carryover inventory that we see right now by itself cannot be transported in December alone.
Felipe Saraiva: Pedro, this is Felipe. In addition to the corn carryover inventory, soybean planting was early this crop year when compared to other crop year. So we'll have higher corn carryover inventories when we move into next year. So that volume might be transported depending on the international demand for that corn, but we'll also have an early soybean harvest because the soybean was planted earlier. So there should be a higher demand for logistics than we saw at the beginning of 2025 when soybean harvest was later. So biomass in general is looking more favorable in terms of logistics in Mato Grosso specifically.
Operator: The next question is from Mr. Pedro Bruno from XP.
Pedro Bruno: You mentioned your cost discipline. If I could touch on that, please, to understand, especially looking at SG&A plus fixed costs, the consolidated line. You gave us some numbers that don't really give us a lot of visibility. You talk about other operation costs, which I think is the more positive line in terms of how costs progress. It's maintenance, third-party services, security, facilities and others. There was a significant fluctuation, close to BRL 70 million year-on-year, depending on the window, but it looks like that line was highly efficient. But in general terms on fixed costs and SG&A, if you could give us a bit more color on what kind of initiatives we're talking about and what's been responsible for that efficiency? And if there is a trade-off among those initiatives or if there's something you had already planned on capturing.
Guilherme Lelis Machado: Pedro, thanks for joining us, and thanks for the question. Yes. what we've been noticing in terms of reduction. And we started working on that since last year, and it's been translating into positive results this year. Throughout our journey and the company has had major projects and initiatives that have required an expansion of our structure. And we believe we have reached an adequate level. So from now on, we will be optimizing things and operating efficiently, always taking care of the company's operational leverage, which is what we do, maximize volume and decreasing unit costs. But what we have been doing is optimizing our structure our occupation, our capacity use because right now, we're at the right structure level. So we have been optimizing our personnel, simplifying processes and rationalizing company initiatives to prioritize those that create value and add to the company's core business. We have been managing inventory very efficiently and working on losses and compensation so that we can avoid losses. We don't want that to be a detractor to our overall structure. So there isn't one specific thing that's been leading to those gains, but -- there are several initiatives and many things the company has been doing that have helped us converge towards those efficient levels. So that's what we've been doing to optimize our cost and expenses this year.
Operator: The next question is from Mr. Rogério Araúj from Bank of America.
Rogério Araújo: My question is about your liability negotiation and the renewal of the South and West networks. Could you update us on those processes? What are the next steps? And we had the BRL 55 million loss of profit insurance proceeds. And I think the structure was also damaged due to force majeure because of the rains. Are you negotiating anything to that end in the South network? If you could give us more color on that, that would be very helpful.
Guilherme Lelis Machado: This is -- Rogério. Thank you for the questions. I'll start by the end of your question. In terms of compensation for the South network claims, they should come to an end now. We recognize those in the second and third quarter. So that was all we had in terms of compensation. The team worked very closely to the insurance companies, and we were able to resolve those issues very swiftly within the regulation. In terms of other occurrences, we are complying with the regulation. There should be something else happened. We will announce that to the market, but there's nothing material to share at the moment. In terms of the South and West networks, there is no news for this half of the year. In the renewal and end of concession of the South network, let's remember that there was a working group with the company, the ministry and the regulatory agency. Those activities have been concluded. So we're not just waiting for the conclusions to be announced. In the South network, we do have the potential and the company is interested in continuing to operate it in a model that is financially feasible for us. Discussions will be ongoing with the stakeholders, and we'll be looking into different alternatives. And as things progress, we will be informing the market. There's nothing to announce for the time being, but this discussion should be taking place over the next few months. Let me remind you that the South network will be concluded in February 2027. So we still have a ways to go with these stakeholders. As for the West network, we do have an event in the short term, halfway through next year, June 2026. That's when the contract will come to an end. We've made it very clear so far in light of the fact that there has been no volumes transported in that operation. So there's no significant revenues or investments coming from there. So we should be giving that asset back to the government and then we'll assess the reconciliation in the assets and liability balance sheet for that operation. Discussions with the government are amicable. So now we just need to decide on the best design for that negotiation. We will let you know as things progress.
Operator: The next question is from Mr. Daniel Gasparete from Itaú BBA.
Daniel Gasparete: Touching on what Guilherme said about volume and unit cost. How are you coming to your tariffs for 2026, its competitiveness considering a scenario where things might be slower, given the pressure on the margin. What about the carryover of your tariffs from '25 to '26? I know you have the guidance, but if you could tell us a bit more on that dynamics. And also, how do fluctuations in tariffs affect your perception of CapEx investment projects and the projects for this year?
Pedro Palma: Daniel, this is Pedro. Let me take your question. Well, let me start by the end to your point about our investment plans. Obviously, when we look at our CapEx execution and our expansion project, we need to calibrate those based on expectations of profit and the investments that are being made. I think the main point when we look at tariffs and when we look at the future interest rates, if we were to conduct a financial assessment of our investments, looking at our expansion plans, you have to have an expansion of volumes, competitiveness and pricing that you get from that structure. And often, investments can help you stabilize pricing. So pragmatically speaking, our journey in the rail system for both operations, especially in the North operation, pricing has never been linear because -- given any moment, when you go into any year and a specific year, there is an effect of the fluctuation of exports, crop failures. There are one-off circumstantial events that can change the pricing ratio within a semester, a year, a crop. But if we look at how our pricing has progressed over the years, you will see that pricing levels have been normalized and the tendency and our thesis that has been confirmed year over the year is that the world needs agricultural commodities and the best region to produce and export those is Brazil and the best region in Brazil for that starts in the Brazilian Midwest, and we want to be the best logistics company with the best structure with the lowest cost to be the best export solution. So to address a point that might not be exactly what you asked, but to give you more granularity, right now, we're fine-tuning our business plan for Stage 2 of our rail expansion project in Mato Grosso in light of the fact that we're moving towards concluding Stage 1. Next year, we will be delivering the BR-070 terminal as we had announced. So now coming into the new year, we'll be fine-tuning CapEx and what we expect from the next stages for the project in light of what's happening in terms of competition and what we expect looking forward. What I can share with you right now, this is not a decision that has been made because the Executive Board is still looking into things to then discuss it with the Board is that we're very constructive about how demand will grow in our markets and competitiveness and our structural profitability coming from investments that we can make. But obviously, we'll look into things stage by stage. We won't be making any dogmatic investments. Our investments are always based on an in-depth assessment of what the market has to offer in terms of demand, expected profitability and our ability to absorb those results and to seek fair share for our operations.
Unknown Executive: Another important point is that throughout this journey and considering the tariff dynamics, we've had a very healthy journey after we went through that repositioning, like Pedro said during his presentation, that's taken place over the last few years. So obviously, in 2025, the level of our tariffs how we've traded our capacity. This is a very healthy level. There's been no value disruption. The company margins are still very solid and very healthy. In terms of investments, just to add to what Pedro said, we need to bear in mind that we are sensitive to the company's cash consumption. So all of our investment plans have to be assessed in light of cash generation. We're not going to put the company under any financial stress that is incompatible or that will take us to levels of debt that don't make sense. Also given that there's a persisting high level of interest rates. So we will be calibrating that as we look into market dynamics and making sure that we preserve the company's health.
Daniel Gasparete: That was a very clear answer. If you could just touch on the first part of my question, which was about the carryover from '25 to '26 and maximizing volumes and minimizing unit costs. Do you think the trading cycle will be as slow as it was in '25?
Unknown Executive: Yes, there will be a degree of carryover into '26 from '25, as I said in my answer to a different question. If we look at the baseline for '26, we're talking about similar pricing levels to the second half of '25. And carryover inventory volumes, good crops obviously put pressure on the system. But as we have shown in the past, we are totally able to increase prices if market opportunities arise. That's what we did from '22 to '24. We increased prices by more than 60% during that period, just as we repositioned it in the recent past in 2025 to make sure that we were capturing volumes as we have reiterated at very healthy margins, given that our pricing levels are very healthy going from '24 into '25. But to be objective, the baseline for '26 is what we had in the second half of '25. We'll have to wait for the market to operate and pressure levels. And in '26, we should be able to capture price recovery along the year.
Operator: The next question is from Ms. Julia Rizzo from Morgan Stanley.
Julia Rizzo: Can you hear me okay? I have a question about your tariffs, your competitive yield. I think you mentioned that in your institutional presentation in the third quarter, showing that the tariffs at the Rondonópolis terminal was very close to the market. You said it was the next best alternative and Rumo's nominal yield was 246 and the market was 244. What was that like in the third quarter? I just want to understand where the market is going and if what we're seeing now is a reflex if you have already reached market levels. What got my attention was the drop in tariffs and the loss of share. So my next question is what would be a fair or sustainable share for the company this year? We still have a quarter to go and good volumes to deliver, hopefully, and for next year.
Unknown Executive: Julia, Thank you for the question. The company right now is operating considering alternative costs considering the regions we operate in Mato Grosso. Let me remind you that the rail volume captures volumes from across the state. And for each region of the state, alternative costs are different. Looking at the portfolio average, we're very close, slightly below the alternative costs to our clients. So looking at the price reduction we saw in the third quarter this year, there are two elements to it. First, price repositioning in the grains portfolio because we want to bring rail to a competitive level and to make sure that we are positioned as the best logistics solution to our clients and the effect of the mix in our portfolio with lower unit cost than the grains portfolio. So obviously, all of that leads to around 7% decrease in the tariffs this quarter. Now looking forward, we will continue to maintain rail as the best alternative to our clients. And that's the strategy we've been implementing for 2026. And market share is a consequence of that positioning and market dynamics. It's not a goal for the company. What the company is pursuing is to have a competitive tariff so as to make sure that we are using the rail system to full capacity. Now looking at the export market for Mato Grosso, we want to operate at about 40%, depending on the quarter, slightly below or slightly above, maybe close to 45%. That's the range we expect the market share to operate in. But again, to remind you, the market share is a result of exports and the rail operation. If the market is at a normal level, then we imagine that we'll be operating at about 40% in our grain portfolio in Mato Grosso. And as I said in my presentation, rail -- we'll be making sure that rail is the absolute best solution at the Port of Santos. We've been doing that at the Port of Santos and the Mato Grosso operation was just slightly below last year's, but very similar to 2023 when the market -- the export market was more similar to the current market.
Julia Rizzo: Could you give me some reference in terms of reals per ton at the Rondonópolis terminal? Just so we have an idea of where the market is at and what the company is executing.
Unknown Executive: We were very close, Julia. It's around BRL 230 per tonne in Rondonópolis. Some months, it's slightly above that. Some months, it's slightly below that. It's not linear. But right now, we're operating very close to competitive prices at that terminal.
Operator: The next question is from Mr. Filipe Nielsen from Citi.
Filipe Ferreira Nielsen: Most of my questions have been answered. If I could just touch on a point that hasn't been addressed yet. All those changes and discussions taking place at Cosan, Rumo's controlling company. There have been changes in the Board, management, new shareholders coming in. What have been the first conversations with the new shareholders and the controlling companies stance? Do you know what the strategy is going to be like and how strategies are thinking and how that fits with how you think, both in terms of pricing strategy and projects?
Pedro Palma: Filipe, this is Pedro. Thank you for your question. Well, first point, we think it's very healthy that the controlling company be healthy, the Cosan Group be healthy. So with BTG coming in to Cosan's controlling share with Rubens. Rubens keeping the controlling stake in the structure is welcome news and very healthy for Rumo as well. Obviously, the 2 new shareholders have joined the company because they see value in Cosan Group and its portfolio, and they are bringing additional types of expertise, both BTG based on their historical experience and professionals. Their track record is amazing. And I'm absolutely certain that they will make huge contributions to the progress of the Cosan Group, and Rumo is no exception to that. Conversations have been very transparent. They're very incipient because the conclusion of that transaction, the election of the new members of the Board at Rumo only just happened at the end of last week. But what I can say is that preliminary discussions and conversations have been very positive. So we'll be discussing things together and working together on the next steps so that we have an increasingly better and more robust company. Talking specifically about Rumo, no one has any question about the rail asset in the logistic infrastructure and the role that Rumo can play in the markets it operates in. Everybody wants for this company to continue to grow and be better. So I'm sure Rumo's team, I can speak for myself and the whole team that everyone is very happy with the change in shareholders at the Cosan level. And with this new stage beginning now.
Operator: This concludes the question-and-answer session. I would like to turn it over to Mr. Guilherme Machado for his closing remarks.
Guilherme Lelis Machado: Well, thank you for joining us. And let me just conclude by saying a few things. I don't want to be repetitive and say the same things Pedro said in his opening presentation and everything we said during the Q&A session. The company has been delivering a very solid operational execution month after month. We have been attracting volumes to our operation after the beginning of the year when we realized and were able to swiftly adjust our commercial dynamics to recover the fair share and market share. This has been a very healthy and positive dynamics in our operation. And our projects will continue in line with what we've got planned for the year and delivering on the relevant projects for the company, such as the first stage of the Mato Grosso rail and all the other commitments to do with modernizing, creating capacity at the company, both at the Paulista Network and any other fronts we work on. Safety and operating efficiency are not only our priorities, but almost an obsession. And they have been translated into practical results. You've been able to see both in terms of incident frequency rate, as Pedro said, as well as capturing efficiencies, especially energy efficiencies as we have been sharing with you through our figures. The company's financial position is very solid, especially considering the high interest rates. We've been able to issue and restructure our debt very creatively, very efficiently. So our maturities are well balanced. The cost of capital is also very healthy. So having said all that, our focus for the end of the year will be on delivering results, and we have been making adjustments according to what the market presents us with. We're highly focused on delivering on our commitments. And we are aware that there will be higher risks in the fourth quarter. But in financial and operational terms, we know that the company is pretty ready to absorb those, but we are already looking into 2026, and we're paving the way towards positive execution, delivering value to the company and our shareholders. That is Rumo's objective, and that is how we have been facing challenges. We are fully dedicated to making sure that in 2025, we deliver a solid year. Thank you all for joining us, and we'll see you at the next earnings release call. Thank you.
Operator: Rumo's Third Quarter 2025 conference call is now concluded. Thank you for joining us, and have a great day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]